Operator: Welcome to the Anheuser-Busch InBev Full Year 2016 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Felipe Dutra, Chief Financial and Technology Officer. To access the slides accompanying today's call, please visit AB InBev's website now at www.ab-inbev.com and click on the Investors tab. Today's webcast will be available for on-demand playback later today. At this time, all participants are been placed on listen-only mode and the floor will be open for your questions, following the presentation. [Operator Instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on the Management's current views and assumptions, and involve known and unknown risks and uncertainties. It is possible that the company's actual results and financial condition may differ, possibly materially, from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect the firm's future results, see Risk Factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on March 14, 2016 and on Form S-4 filed with the SEC on the November 14, 2016. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. Please refer to the reference base press release stated January 6, 2017 available on the company’s website for important information about the company’s updated 2015 and 2016 segment reporting. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Brito: Thank you, Marie, and good morning, good afternoon, everyone. And welcome to our full year 2016 earnings conference call. As usual, let me start with the highlights. In the total 2016 we completed the combination with SAB, making us a truly, the first truly global brewer in one of the world's leading consumer product companies. By the end of 2016, we had also agreed to the terms on all key disposals resulting from the deal. We're delighted to welcome SAB staff from the retained businesses and also excited to further develop the long-term relationship with SAB’s business partners across the globe. With respect to our 2016 results highlights. This was a challenging year and especially difficult for Brazil. However, we delivered solid performance in many of our markets around the world. In the U.S. we grew our gross profit margin for the seventh consecutive year. In Mexico revenue grew by double digits this year and in Western Europe our premiumization strategy generated strong financial and market share performances. Our three global brands, Budweiser, Stella Artois and Corona had another strong year with combined revenues growing 6.5%. Our premiumization initiatives in both developed and developing markets have generated revenue per hectoliter growth of 4.5%. We continue to leverage our global skill to realize our dream of bringing people together for a better world, which reduce our updated better world platform in October 2016, focusing on three priority areas, the growing world, a cleaner world and a healthier world. By completing our combination with SAB, we’ve created the world’s first truly global brewer with the leading position in eight out of the top 10 biggest beer markets by volume. We have much to learn and gain from the sharing and embedding our best practice from both companies, category expansion framework, smart affordability and the core lager toolkit are just a few examples of commercial learnings from SAB, better already being integrated into our ways of working. Our combined innovation capabilities and thoroughly understanding of the beer category in both developed and developing markets together, we are all determination to see the grow its relevance and attractiveness to consumers position us for sustainable and profitable long-term revenue growth. We are updating our total synergy guidance to $2.8 billion per year at constant August 2016 exchange rates to be delivered in the next three years to four years. This number is inclusive of the $1.05 billion of cost savings previously identified by SAB of which $547 million have been delivered by the 31st of March 2016 and additional $2 million of synergies has been delivered between April 1, 2016 and December 31, 2016. We expect the delivery of these recurring synergies to require estimate, while our cash costs of approximately $900 million to incur in the first three years after closing and of which $158 million was spent in 2016. The fourth quarter 2016 was the first quarter of the combined company and this is reflected in our full year results presented today. On that basis total revenue increased by 2.4% to 2016, where revenues from our global brands growing by 6.5%. Revenue per hectoliter expanded by 4.1% on the constant geographic basis, driven by a revenue management initiatives and strong growth from our premium brands. Total volumes were down 2% in the year with own beer down 1.4% and non beer down 6.2%. EBITDA was roughly flat down 0.1%, resulting in EBITDA margin contraction of 92 basis points to 36.8%. However, as illustrated on slide six, the company grew EBITDA by 6.3% when excluding Brazil. Normalized earnings per share decreased to $2.83 from $5.20, mainly driven by unusual items to be explained later by Felipe. Finally, the Board has proposed a final dividend of €2 per share for fiscal year 2016, bringing the total dividend for the year to €3.60 in line with the prior year. Our global brands are very complementary, providing us with the opportunity to connect with the broad range of consumers across multiple geographies and consumption occasions. Last year, revenues of our global brands grew by 6.5% well ahead of the growth of our total portfolio. Budweiser revenues grew by 2.8% driven by Brazil and the U.K. Stella Artois revenues grew by 6.3% with solid performances in the U.S. and Canada. Corona lead the way as revenues grew by 14.3% with especially strong performances in Mexico, U.K., Chile and China. These results are underpinned and fueled by consistent global messaging and market activation. We believe this portfolio complementary brands has the strength to be marketed worldwide capitalizing on common values and experiences that appeal to consumers across borders. In order to accelerate our plan growth, we have developed a deep understanding of consumer needs and occasions, enabling us to identify four commercial priorities. These four priorities with which you are familiar have been significantly enriched by know-how gain from SAB and remain relevant across our expanded geographic footprint. Growing our global brands involves leveraging the potential of Budweiser, Stella Artois and Corona. Premiumizing and integrating beer by bringing new energy and provide to the beer category to ensure winning exciting and aspirational specially among young adults of legal drinking age, elevating core lager by increasing its appeal to more consumers through differentiated messaging and large-scale activations to raise the perception and relevance of this important segment. And finally, developing the newer beer category, which allows us to compete in the wider range of occasions by providing innovative choices, including low and no-alcohol beers to our consumers. These four commercial priorities are applicable in all geographies in which we operate. Although, depending on the attributes of each specific markets, some of the priorities maybe more relevant than others. We should have a better understanding of this concept once I will take you through the results in more details. So let’s start with North America, our volumes in North America declined by 1.6% this year, while revenue increased marginally. Our revenue per hectoliter grew by 1.8% driven by revenue management initiatives and continued premiumization of our portfolio. EBITDA grew by 2% with margin expansion of 76 bps to 39.8%. In the U.S., we estimate industry sales-to-retailers, STRs declined by 1% in 2016. Our own STRs were down 2% in the year, resulting market share loss of approximately 50 bps, based on our estimates an improvement versus last year's decline of 65 bps. Our U.S. business delivered solid financial performance, expanding gross margin by over 220 bps, the seventh consecutive year of margin growth. EBITDA grew by 2.2% to over $5.5 billion with the margin expansion of 84 bps to 40.1%, as increased sales and marketing investments were more than offset by lower cost of sales result due to favorable commodity prices and further brewery efficiencies. Our business in the U.S. has continued to improve but we’re not fully satisfied with our results. We will continue to invest efficiently, behind proven initiatives and new partnerships to restore net revenue growth and further improve EBITDA performance. Given the scale and sophistication of the market, it's not surprising that all for the commercial priorities are relevant to our U.S. business. In the case of the U.S. growing our global brands means a deep focus on Budweiser and Stella Artois. Budweiser’s consistent marketing campaign around the brand’s quality and heritage credentials continues to resonate with consumers and the brand has stabilized its recent trends with STRs declining by mid-single digits in the quarter and full year. Stella Artois has been performing very well, consistently ranking one of the top five best performing in the U.S. in which all-time highs in awareness, considerations and penetration this year. Across portfolio of Stella Artois play key roles in premiumization and integration of beer. We are leader in the high-end segment -- where a leader in the high-end segment and continue to gain share. We have built a lean craft portfolio through our local, regional and national brands, with the combined portfolio of regional craft brands growing over 30% last year. We believe we have the right portfolio of brands in place to sustain growth for years to come. Elevating our core other brands, Bud Light, Budweiser and Michelob Ultra is our top priority in the U.S. In 2016 we put significant resources behind Bud Light with the Bud Light party campaign, our NFL and new visual identity which improved our brands perception. However, our efforts did not translate into improved volume and share performance as STRs declined by mid-single digits and the brand loss approximately 50 bps of share in the year. In 2017, Bud Light is going back to its roots with a new campaign called Famous Among Friends, which was developed in partnership with our wholesaler network and the agency. Turning around a brand the size of Bud Light takes time and requires discipline and we remain committed to doing exactly that. Michelob Ultra had a great year in 2016 as the fastest growing beer brand by absolute volume growth and share gain in the U.S. market. The brand’s core plus positioning low carbs and calories and exceptional taste are powerful differentiators from the rest of the beer category. We invested to support the continue acceleration of this brand that still has a lot of room to grow. We believe we are on the right track in the U.S. and look forward to educating our plans for 2017. Moving now to Latin America West. Volumes in Latin America West grew by 6% this year, driven largely by strong performance in Mexico. Revenues grew by 9.3% with revenue per hectoliter increasing by 3.1%. Our EBITDA increased by 5.6% with margin contraction of 160 bps to 45.8%. Mexico recorded a very strong performance in 2016 where volumes up high single digits and revenue growing by double digits. Our EBITDA grew by high-single digits. Growing our global brands in Mexico entails focus on Budweiser and Stella Artois, which are both showing very good growth from a small base, of course, Corona plays a very important role in Mexico, but just like Budweiser in the U.S., Corona is a core brand in its home market. Premiumizing and integrating beer involves driving the Michelob brand family and enhancing our premium portfolio with international and class brands. Michelob Ultra has posted high growth in the space as we continue to focus on increasing the brands’ awareness. Elevating core lager brands is key for Mexico with Corona, Bud Light and Victoria leading the way. Corona had a strong year in 2016, achieving all-time high preference metrics among both the total population and among young adults of legal drinking age. Bud Light continues to grow by double digits and this year we will leverage our NFL partnership in Mexico through special edition can launched alongside NFL game played in Mexico City. In the near bear segments we’ve launched Vickychelada, our approach to the typical mixtures made in Mexico combining beer, tomatoes, salt and lemon, it's a natural extension to the Victoria brand identifying -- identity highlighting Mexican heritage and is off to a strong start. Moving now to Columbia, in Columbia we saw volume decline in the low single digits since change of control in October 2016. Revenue grew by mid-single digits due to our revenue management initiatives. All three of our global brands are present in Columbia, following the launch of Stella Artois 2016. We are excited about the opportunities for this brand in Columbia, following the close of the combination with SAB as it can leverage the scale of our operations to further develop our global brands. Our Club Columbia brand family enables us to premiumize and integrate beer and it’s doing well, having grown volumes by double-digit in the fourth quarter. This year we launched Club Columbia Wheat to continue building a strong portfolio of appealing variance for the consumer. Elevating core lager in Columbia focuses on Aguila and Aguila Light, both of which execute new campaigns this year and in the near beer segment we launched Redd's Apple targeting social out of home occasions. Turning now to Latin America North, 2016 proved to be one of the toughest years in our history of operating in Brazil, our largest markets in Latin America North. Volumes in the region declined by 5.9%, with revenue down 3.9%, EBITDA declined 16.7%, with margin contraction of 686 bps to 44.3%. In Brazil specifically we saw the industry decline by 5.3% this year, given a challenging consumer environment characterized by rising employment and a decline in real disposable income. Our beer volumes declined by 6.6% while our non-beer volumes declined by 6%. In our beer market share declined to 66.3%. Our revenues declined by 5.3%. EBITDA was down 19.9% this year with margin contraction of 827 bps to 45.3% driven by the topline result, as well as adverse forex impacts on our cost of sales. While the macroeconomic environment has been challenging, we remain cautiously optimistic about the outlook for the Brazilian beer industry and are confident in our ability to recover and retain market share over the time, given the strength of our brand portfolio. Notwithstanding current challenges, we remain committed to our commercial priorities which we view is essential to capitalizing on long-term opportunities in Brazil. All three of our global brands have an important role to play in accelerating the further growth of the premium segment and driving positive brand mix. Budweiser had an especially good year with double-digit growth. Our global brand supported by our portfolio domestic, premium and craft brands also played a critical role in premiumizing and integrating the beer category in Brazil. Elevating core lager is extremely important in Brazil, it require sustaining and further improving brand health metrics of Skol, Brahma, Antarctica. This year we refreshed Skol’s packaging and visual identity to highlight its iconic logo. Finally, we are very excited about the opportunities to reach consumers in new occasions by nurturing expansions of the near bear segment. One example I will highlight is the success of the Skol Beats brand family. It grew double-digit this year with volumes that are larger incremental to our exciting portfolio and saw successful launch of the new Skol Beats Secret line expansion. It was a tough year, but we remain committed to an attractive Brazil market and believe we have the right strategy to get the business back on track. Moving now to Latin America South, volumes in LAS declined by 5.6% this year, as a difficult macroeconomic environment in Argentina resulted in consumption contraction. Revenues grew by 16.9% as a result of pricing new line with inflation, as well as revenue management initiatives. EBITDA grew by 23.4% with margin expansion of 263 bps to 50.2%, as a result of the topline growth, as well as discipline cost management. Although, the past situation in Argentina negatively impacted our results in LAS, it's worth noting that both Paraguay and Chile recorded all-time high volumes in 2016. Turning now to EMEA, our volumes declined by 2.4% in EMEA this year. Our revenues grew by 4.2% largely driven by the growth of our premium brands in Western Europe where we also grew market share in six out of our seven markets. EBITDA grew by 3.7% with a margin contraction of 14 bps to 29.5%. Our beer volumes saw faster declined by 5% in the fourth quarter as a result of macroeconomic weakness and sizable price increase due to currency and commodity headwinds which also resulted in an EBITDA decline. However, our premium brand Castle Lite and Flying Fish delivered solid volume growth. With respect to our global brands we are pleased to have already launched the stellar Stella Artois and Corona in January. We plan to launch Budweiser later this year. Castle Lite is offered to premiumize and integrate the beer category, while packaging -- with package innovations designed to make your beer colder in half the time. Elevating core lager it is growing our largest brand in South Africa Carling Black Label as well as Castle. Innovations such as Brutal Fruit Cranberry-Rosé and Redd’s Rosé are peg in the way to the near beer segment development. Moving now to Asia-Pacific, our volumes in APAC declined in the full year by 1.2%. The revenue grew by 1.2% driven by brand mix. EBITDA grew by 5.4% with margin expansion of 99 bps to 27.1%. In China, industry volumes declined by approximately 3.8% in 2016 with most of the impact being felt in the value and core segments. However, all business which is more focused on the core plus and premium segments performed better in industry with total volumes down 1.2% in the year. Revenues grew by 1.3% in 2016 driven by continued premiumization initiatives, while EBITDA grew 6.6% this year with margin expansion of 117 bps to 23.8%. In China growing our global brands, premiumizing and integrating beer and elevating core lagers are the most relevant of our commercial priorities. Future growth in China is expected to come from the core plus, premium and super premium segments. This segments now accounts for more than 50% of our total China volumes over indexing to the industry. Budweiser, the leading premium brand in China has successfully activated Chinese New Year for many years and this year we launched Halloween Campaign that led to enhance brand preference, increase volumes and lots of dollars in own beer. Stella Artois and Corona are in the super premium segment in China, which has nine times the gross margins of the core and value segments. Stella Artois focused on urban centers to grow the brand, highlighting the food and saver occasion at the restaurants. Corona made strides growing brand awareness and penetration this year with volumes up over 50%. Much of the success was due to the Corona Sunsets music festival activation, which was loved…
Operator: Ladies and gentlemen, today’s conference will resume momentarily, we are having technical difficulties, please hold. Sir, you may begin.
Carlos Brito: Hi. So I don’t know exactly when I lost you guys, but I was talking about the Stella and Corona brands in China. Corona growing 50%, a lot of the success based on the Corona Sunsets music festival activation. Over 6.5 million people tuned into watch the stream with an additional 30 million people listening on the radio live stream. With respect to elevating core lager Harbin Ice is our flagship core plus brand, bringing fun and energetic experience to our consumers. A more premium Harbin Wheat beer called Baipi was also launched this year with grew momentum which will help premiumize our Harbin brand. I would now like to move on to our better world initiatives as we continue to work toward our dream of bringing people together for a better world. In October 2016 we introduced our updated better world strategy aligning on environmental, social and community efforts around three core principles to make the world a better place. Our ambition for growing world gives everyone the opportunity to improve their livelihood. Some of the initiatives from this past year includes the 4e small retailer support program, which has helped over 20,000 shopkeepers in six countries in Latin America develop the skills they need to improve their business, sustainability and quality of life. In our SmartBarley program which has worked with over 4,500 brewers in nine countries to cultivate the highest quality barley with the best yields and lowest cost. Additionally, agriculture is the critical source of income and livelihood in the number of markets across Africa. We are working to make beer and affordable alternative to unhealthy informal or illicit alcohol by brewing beer from local crops grown by smallholder farmers. In a cleaner world, our natural resources are shared and preserved for the future. This year continue start to our Buy a Lady a Drink program with Water.org, which aims to tackle the global water crisis and has helped provide clean water to nearly 800,000 people in developing world. We also continued to scale our water stewardship efforts by engaging in watershed protection partnerships with local stakeholders focusing on high stress areas across multiple countries. Additionally, we are proud to have delivered of many of our 2017 environmental goals early, including improving water and carbon efficiency in our breweries and rolling out eco-friendly coolers with our retailers. In a healthier world, ever experience with beer is a positive one. This year we will continue to make progress on our Global Smart Drinking Goals, empowering consumers to make smart drinking choices and change behaviors by shifting social norms. One of our goals is to have low or no-alcohol beers represent 20% of our global beer volumes by 2025. In 2016 we launched no alcohol varieties of several brands including two 0.0% ABV global brands, Budweiser Prohibition in Canada and Corona Cero in Mexico. We also establish the AB InBev Foundation in 2016 with a commitment to help address harmful alcohol use and ideas for advancing broader health and social issues.
Operator: Ladies and gentlemen we are experiencing some technical difficulties, please hold and today’s call will resume momentarily.
Operator: You are live sir.
Carlos Brito: Sorry, everybody and thank you for your patience. So in a healthier world every experience with beer is a positive one. This year we continue to make progress on our Global Smart Drinking Goals, empowering consumers to make smart drinking choices and change behaviors by shifting social norms. One of our goals is to have low and no-alcohol beers represent 20% of our global beer volumes by 2025. In 2016 we launched no alcohol varieties of several brands including two 0.0% ABV global brands, Budweiser Prohibition in Canada and Corona Cero in Mexico. We also establish the AB InBev Foundation in 2016 with a commitment to help address harmful alcohol use and spread ideas for advancing broader health and social issues. So with that, I will now hand over to Felipe. Felipe?
Felipe Dutra: Thank you, Brito. Good morning, good afternoon, everyone. I will start on the slide 26 with a summary of our normalized earnings per share performance in 2016 and then drill down into of the other line items. Normalized EPS declined from $5.2 per share in full year ’15 to $2.83 per share in the full year ’16. $1.87 per share or 79% of the year-over-year change resulted from changes upside the ordinary course of business. $0.74 per share resulted from the funding of the SABM combination prior to the closing of the transaction and full consolidation of SABMiller in the group’s results. $0.39 per share resulted from foreign exchange non-cash gains on U.S. dollar cash held in Mexico in full year ’15 that did not recur in full year ’16. And $0.74 per share related to year-over-year changes of the non-cash mark-to-market adjustments relating to our share based payments. Year-over-year changes in the ordinary course of business include the SABMiller results since completion of the combination and the post closing acquisition funding costs. The net negative impact on our normalized EBIT has $0.50 in the ordinary course of business is largely due to the foreign currency devaluation of $0.60 per share. We now turn to the net finance costs where net finance costs for the year just over $5.2 billion compared to about $1.2 billion last year. This variance was driven primarily by the additional net interest expenses resulting from the bond issuances in early 2016. Additionally, other financial results include the negative mark-to-market adjustments of $384 million linked to the hedge of our share-based payment programs compared to a gain of $844 million in 2015, a negative swing of just over $1.2 billion. Foreign exchange and hedging activities in the fourth quarter this year led to a negative impact of over $300 million. Additionally, we experienced a non-recurring net finance costs this year of over $3.3 billion. Non-recurring net finance costs include the negative mark-to-market adjustment of over $2 billion related to the portion of the FX hedging of the purchase price for SAB that does not qualified for hedge accounting under IFRS rules. We also recognize the negative mark-to-market adjustments of $304 million resulting from the derivative instruments entering to hedge the deferred share instrument issue in a transaction related to the combination with Grupo Modelo compared to a gain of $511 million in 2015, a negative swing of $850 million. The normalized effective tax rate for the year was 20.9%, an increase from 19.1% in 2015. This increase is mainly due to the mark-to-market losses linked to the hedging of our share-based payment programs. We expect the normalized effective tax rate in full ‘17 to be in the range of 24% to 26% excluding any potential gain or losses on the hedging of our share-based payment programs. This guidance includes the impact of the change in the country mix, following the combination with SAB and the expected tax consequences of the funding of the combination. It also recognizes that incremental earnings tend to be taxed at the maximum marginal corporative rates. We now have a debt maturity profile which we considered to be conservatively staggered over the medium-term and an attractive overall cost of debt, allowing for a clear path to deleveraging without being dependent on capital market transactions for debt rollover. Our business remains highly cash generative. Our tried and tested model of working capital management again saw improvement in core working capital in 2016, excluding the impact of the SAB acquisition core working capital reached at an average of 15.2% in 2016. The board is proposing subject to shareholder’s approval a final dividend of €2 per share, which combine with the interim dividend €1.6 per share paid in November last year would lead to a total dividend payment for the fiscal year 2016 in line with last year of €3.6 per share. Expected dividend payment dates for each of our listings are shown on page 19 of our press release. Our capital allocation objectives are unchanged. Our optimal capital structure remains a net debt to EBITDA ratio of around 2 times. Our first priority for the use of cash will always be to invest behind our brand and to take full advantage of the organic growth opportunities in our business, deleveraging to around 2 times remains our commitment and we will prioritize that for payment in order to meet this objective. M&A remains our core competency and we will always be ready to look at opportunities when and if they arise subject to always treat financial discipline and deleveraging commitment. Our goal is for dividends to be a growing flow over time consistent with the non-cyclical nature of our business. However, as I said before, given our emphasis on deleveraging dividend growth is expected to be modest in the short-term. And with that, I will hand back to the operator for the Q&A section. Thank you.
Operator: [Operator Instructions] Thank you. Our first question is coming from Simon Hales of Barclays.
Simon Hales: Thank you. Good morning, Felipe. Good morning, Brito.
Carlos Brito: Good morning.
Simon Hales: And a couple of questions, please, firstly, just on the increase in the cost synergy and savings target, are you able to provide any granularity of which buckets that you identified for the previous cost savings, where the incremental is coming from the analysis you perhaps done in the integration that you have seen so far? And was that, I mean, you’ve talked about delivering the full $3 billion of further savings with the still to come over next three year to four years, any idea about how we should think about the phasing of those savings? And then just my second one, just on your CapEx guidance, Felipe, it’s a little bit lower than I would have thought 2017, what’s driving that reduction in CapEx this year. How should we think about CapEx perhaps moving over the medium-term to the combined group?
Carlos Brito: Hi, Simon. In terms of synergies and your question -- your first question. I mean, the additional synergies will come basically from a couple of areas. First, I mean, reverse synergies, so again, we are prepared for 11 months in terms of integration planning, but we've been now five months managing the new company and as we learn more about some of the practices from the -- our new colleagues we learn some of the practice could be re-injected in our old footprint and that is what we are calling reverse synergies. So a little bit comes from that. A little bit comes from procurement. When you do integration planning you will have the procurement contracts in clean rooms and therefore after closing we're able to look at those contracts and see that there were further opportunities right there and just comparing contracts between the two companies. And the third area of opportunity is the whole thing about ZBB. Once you get more granular, you start with broad assumptions but once you get into the business, you grow more granular and that's when sometimes you find more from non working money that could be shifted to working dollars. So that's what gave us the additional $350 million companies and got us to $2.8 billion as a total number of synergies. In terms of these synergies we said business is to be captured in the next three years to four years and that's what we said about timeline for those.
Felipe Dutra: So on the CapEx piece, there are two elements. The same way currency is a head wind for the translation of our results as seen in our EPS for example. It becomes a tail wind for the local currency CapEx investments, so therefore the U.S. dollar number tends to go a bit down, giving the currency devaluation of last year. And secondly, we are really prioritizing CapEx and -- in the short-term taking into our account the deleveraging commitment, of course, not putting our business at risk, but being more selective on the investments.
Simon Hales: Okay. Thank you, gentlemen.
Carlos Brito: Thank you.
Felipe Dutra: Okay.
Operator: Our next question comes from line of Trevor Stirling of Bernstein.
Trevor Stirling: Hi, gentlemen. One question from my side please, which, I guess, looking at Brazil and looking back at Brazil now compared to where we were a year ago. I think, it’s turned out to be much more tough than you expected. With hindsight is there anything to do differently in Brazil?
Carlos Brito: Hi, Trevor. I mean, I think, you have a good point. I mean, Brazil has had two years, ‘15 and ‘16, of negative GDP or GDP contraction, two years in a row of 3 plus percent. I think the first year we're able to balance things out, because consumers are not as under pressure as they were and taxes and the currency because of our hedging policy was still not hitting there. So, in 2016, all those things came together. So second year with GDP contraction and employment going up, inflation going up, political turmoil, the currency devaluation hitting our COGS and states looking for revenues and increasing taxes. So all of that came at once and it became very hard to pass through prices and that's what -- especially in the second half of the year. So that's what you saw, consumers under pressure, our business under pressure because of lots of state taxes being put into the business and also a lot of COGS escalation because of currency. So because we're committed to the long-term Trevor, I don't think we would have done much different, because on the other hand, what gives our people confidence that we're in this business for the long run is that even in the tough year, we don't cut investments that are there for the long-term or mid-term. So I'll give you a couple of examples. So, in Brazil, in 2016, we continue to invest heavily in the returnable glass bottle opportunity. Consumers are looking for out of pocket price points and returnable bottles, different sizes, can afford them those price points at margins that are good for us and price points that are attractive to consumers. So within four minute blanked on those investments and we invested every time we saw an opportunity. Another thing is general market assets, so for example, sponsorships that we had lost some years ago to some of our competitors given inflation, so those costs rose a lot and some point we thought those are not worth it. They got those things and are in a crisis environment a lot of those properties came back to the market, shopping for buyers and sponsors at a much more reasonable price and we could get much better conditions for longer periods. And on the people side, we continue to contract -- to hire trainees and MBAs from the best schools when a lot of companies paused to wait for what was to come. So, I think, that's what gives us confidence and also gives confidence to our people that we are owners, that is we're committed to the long-term, so it's not going to be because of one bad year that we cut everything just to make that years number and then to start the next year with a big liability, because of cutting things that should not have been cut. So I think that's the hallmark of the company, of course, if we knew that it would be this bad, I'm sure we could have faced things in a different way, we could have done things in a different way, but nothing that would put our business in risk in terms of long run and nothing that would put us away from getting and pursuing big opportunities like returnables, assets, sponsorships that make sense for the business at much better prices.
Trevor Stirling: Thank you, Brito. And my…
Carlos Brito: We’ve got a hand, yeah, go ahead.
Trevor Stirling: Sorry, go ahead, Brito, apologies.
Carlos Brito: No, no, go ahead. I thought that was your last question, go ahead, please.
Trevor Stirling: Yeah. So the final question, Brito, was just, in Brazil two of your competitors potentially going to combine. You think that will create anything, any changes in the competitive environment for better or for worse?
Carlos Brito: Well, I mean, Brazil is a very competitive market as we know it and there is two competitors there already in the market, so they are not new to the market, of course, the fact that they combine is something new, give a more scale, but again, it’s a competitive market, we use to competition. And just to follow-up from your first questions, on the other hand, when we look at ’17 with the public information we have, not giving any guidance, but when you read what’s out there in terms of macro numbers and what the economists are saying and predicting, we see some facts and some prediction. We see, for example, that inflation continues to go down. So that’s a good thing for consumers in general and for us. We see that consumers -- the economists are talking about the GDP to be flat to two consecutive years of declines. So, again, not great news for GDP but much better than we have in the past two years, unemployment also being forecasted to start with reverting in the second half of the year and as consequences disposal income likely to resume growth towards the end of the year again after two very tough years. So, and in this environment that’s what we said about be cautiously optimistic about Brazil in terms of beer industry for ’17, especially for the second half of the year. So along with that you have the COGS per hectoliter that will evolve throughout the year given that we had our hedges in place and those hedges will get a better place as we go through the quarters especially in second half. So that also will benefit year. And on top of all that, the fundamentals of the Brazilian industry in which we have been operating now for 30 years remain the same. We have done very favorable demographics. We have regional disparities that are beginning to close more and more and per capita consumptions in those, some of those regions coming up, middle class growing and consumers are very open for innovation in premium and global brands. So I think those are all true. It’s not one bad year or two years that will change that. So you put the ’17 predictions in fact that we will see with this fundamentals, I have always been there and our experience in operating in those market, it’s a great market, we have always been bulling Brazil, we will remain of the same opinion.
Trevor Stirling: Thank you very much, Brito.
Carlos Brito: Thank you.
Operator: Our next questions comes from line of Chris Pitcher of Redburn.
Chris Pitcher: Thank you, Brito. I know you don't disclose sales and marketing out of the regional level, but it came in ahead -- certainly ahead of my expectation the company level. I'm wondering if you're able to say versus the previous guidance you are giving of high-single digits to low double-digit where that sales and marketing grew this year. And in relation to that, specific to something like a Bud Light, at what point do you take the view more money and more investment isn't the solution on these brands. Are we at a level of peak sales and marketing investments or will you keep spending until such time as that perhaps stabilizes? Thank you.
Carlos Brito: Well, two things on that, last quarter and in -- totally in line with the guidance we gave for 2016, which was sales and marketing for the total company growing high single to low double digits. I can say that we are within that guidance for the year and that we said more, we said in the third quarter last quarter we said that because of that guidance for the year that the fourth quarter for sales and marketing would be essentially flat to the fourth quarter ’15, so that we are in that guidance. So that's your first question. In terms of Bud Light, I mean, what's happened in the U.S. is the two prong approach to sales and marketing money. I mean, yes, we continue to invest behind Bud and Bud Light, because those are very important, its core lagers for us in the U.S., but a lot of new money that we're putting in the business are going towards Michelob Ultra, Stella Artois, the craft portfolio. So new initiatives that are really forming the portfolio we need for the next many years. So it's a combination of those two things. We could have opted, for example, in taking money out of Bud and Bud Light to feed the new initiatives that continue to support the new initiatives but we’ve decided given the complexity of the market and how competitive it is that it was time to keep the investments behind Bud and Bud Light, and grow investments in things that are really working well like Michelob Ultra, the highest growing brand in the U.S., Stella Artois, among top five in the U.S. in terms of growth and our craft portfolio that is growing ahead of the craft industries. So that's the makeup of our portfolio and resource allocation within sales and marketing in the U.S. market.
Chris Pitcher: And that’s slightly depend on the follow-up question, you always cite timing of carnival in Brazil as an important driver beer volume how early it is and how late it is given the fact that you maybe have three week later carnival this year. Have you seen the benefit, can you say whether that that rule should still apply that you have the longer summer period and therefore that should benefit consumption versus last year?
Carlos Brito: Well, we are not talking about ’17 here, but you are right. I mean, in general that’s the rule. That a later carnival, carnival is pretty much connected to the end of December period, when kids go back to school and people are back to work. So a late carnival signals normally that the summer will be bit more stretched which for our business being seasonal business, it’s very good. that’s the rule, but I sorry, wont’ comment anything on ’17, but that’s the rule, you are right.
Chris Pitcher: Okay. Thank you very much.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Andrea Pistacchi of Citi.
Andrea Pistacchi: Yes. Hi. I have two questions, please. The first one on, I mean, the volumes in some of the new SAB markets you're in were softer than expected or maybe softer than recent quarters, in particularly I'm referring to South Africa, Colombia, Australia. Now considering the macro and the market dynamics there, do you see this volume weakness as a quarterly sort of -- quarterly one off or something that may last a little longer, were there any phasing issues anywhere that may have affected volumes and in particular could you talk a little more on Australia? And then the second question is on your other operating income, which declined in the quarter quite sharply in China and in Brazil as you got less government grounds. So how should we think, I mean, without going into guidance and you haven't guided on this line, but how should we think about this income going forward, will an improvement depend on recovery in topline in those markets or should we think as Q4 level as a sort of new base?
A - Carlos Brito: Well, Andrea, in terms of softer quarters for some of the new territories, I can make a couple of comments here. For example, in South Africa, what happened there and we guide -- we mentioned that is that we had to put higher price increase higher than average, because of the pressures from commodity and foreign exchange, and that of course, impacted volume. But that, again, we're new to those markets but I see this as something that happened this year, because it happened in major markets in which the press was there in terms of COGS. So that's the explanation for South Africa in terms of softness of the beer volume. In Colombia, it is fair to say Colombia was up against a very tough comp from last year. I don't know if you remember from last companies, but there was El Niño effect and volumes were up by 15% last year. So we were hike at 15% volume growth in Colombia, so that was really tough to beat. And in Australia despite a soft fourth quarter, we had an amazing year. Australia, I mean, everything worked. I mean, the innovations, we gained share, the financials were good. I mean, it's an amazing market that we are using more and more to learn from how to manage developed markets, because in Australia they got the core lager brands to grow. They did amazing things on easy drinking lager brands, together with -- now with Corona, Stella Artois and Budweiser that it's back and in good shape, so it's going to be very interesting to see what our Australian colleagues are going to be able to do, because they had a base business that was in very good shape and now they are getting the import business, which is also in very good shape. So we have a high expectation for Australia. But, again, the year 2016 despite the soft quarter, last quarter was a great for Australia and we gained share in the market. In terms of your second question about incentives, just general points and Felipe can jump. In general points is, in terms of China incentives are very linked to CapEx investments. So, of course, as some of those CapEx investments come due, investments are also coming due and it's also a lot to do with the industry growth and industry is accelerating, we could see less capacity expansions and that's directly connected to the government incentives. That's for China. In Brazil, the drop in these incentives, 75% of the drop had to do with volume and revenue coming down. So a lot of those incentives are connected to sales, as you sell more the incentives go up, as you sell less the incentives go down and the remaining 25% has to do with incentives that expired. But 75% had to do with volume and topline that did not grow contracted. So that is the -- what happened behind those incentives in China and Brazil.
Andrea Pistacchi: Okay. Thanks. Okay.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Komal Dhillon of JP Morgan. Komal, your line is open. Make sure you are not on mute.
Carlos Brito: Hello.
Komal Dhillon: Hello.
Carlos Brito: Yes.
Komal Dhillon: Hi, Brito, Felipe. Just two questions for me, please. I'm just wondering a technical one on Castle. You've allocated $2 billion of goodwill to the company to your stake in the company, what market assumptions have you made to arrive at this given ongoing challenges for the industry in Africa? And then a follow-up on Simon's earlier question on CapEx, I mean, regarding the 2017 guidance, but how should we be thinking about it in the medium-term, is this the new level about 6%, 7% of topline? Thank you.
Carlos Brito: Hi, Komal. I will tackle the first one, CapEx, I mean, the guidance we gave is for 2017 and at this point we are not giving any guidance in terms of more of a medium-term CapEx or anything like that. As Felipe said, CapEx for 2017 was benefiting or benefit or will benefit from the same currency that impacted EPS on a negative way will impact CapEx expenses or expenditures in a positive way and also because of our deleveraging commitment, as Felipe said, we would be in very selective in which CapEx to prioritize. So that’s for CapEx. In terms of Castle?
Felipe Dutra: In terms of Castle and overall we will allocation as we do for our associates, we did valuation based on multiple and we adjusted for our minority stakes and company-wise that is how it was done under IFRS.
Komal Dhillon: Would you be able to give us an indication of the multiples -- comparable multiples you used?
Felipe Dutra: Unfortunately not.
Komal Dhillon: Okay. Thank you.
Carlos Brito: Thank you, Komal.
Felipe Dutra: Okay.
Operator: Our next question comes from the line of Tony Bucalo of HSBC.
Tony Bucalo: Yeah. Hi, Felipe.
Felipe Dutra: Hi.
Tony Bucalo: And quick question on Africa, the numbers were a little bit uneven this quarter. They didn't look great. That market is a bit of blue water for you and your organization. Could you sort of give some color on what's going on in the integration in terms of maybe personnel retention, maybe cultural standpoint and maybe give some background on maybe something you've learned about that market since you've taken it -- taken it over formally?
Carlos Brito: I think, Tony, Brito here. It’s a new market, very exciting market, a market that’s very similar to other markets where we operate in Latin America, in Asia, in which best practice then can be exchange in a more efficient way, but of course, every market now is a bit different given stages of development of beer market, of alcohol beverages in general or just the macro situation in general. So and when we go into a new market like this we tend to learn first before we change anything. So in terms of back office, the changes have done quickly, because those are things that have no -- nothing to do with the markets in general, but everything that touches on market we of course listen first, learn first and then apply best practice across, so that’s the stage we are in. And again, what happened last year in Africa was a big pressure from commodities, currencies, our prices have to be higher than normally they are, consumers under some pressure and volumes therefore was consequence be negative territory. But, I mean, that was South Africa, in northern markets of Africa volumes were up like Nigeria and things that were not really giving much detail, but don’t take South Africa as a pinpoint for the rest of Africa. But in terms of turnover, we have people in most of the SAB business, the acceptance to our offers are very high. I mean, people got very excited about the new company and what we can do together. Africa was no different. What you will see in Africa is that in South Africa we have a voluntary called SOV, it means, severance, voluntary severance and that was implemented in accordance with the agreement we had with the government in approving our change of control in South Africa and that was something that was necessary, because as we change ways of work and sent our gravities from country to zones some adopt that than others and they will provide an exit for some that the people don’t want to leave. And that only applied to middle management at a bar. But again because the talent pipeline is very good, even some senior people that left, a lot of them for retirement. We had some very good young people to promote. So, but that was the exception. Most people are staying with us in all geographies of SAB and that what encourages us because the knowledge is retained and the dream was big enough to excite old colleagues and new colleagues.
Tony Bucalo: So you're feeling pretty confident going forward, Brito?
Carlos Brito: Yes.
Tony Bucalo: Because?
Carlos Brito: Yeah. We like what we see the integration is going well. And again, one thing Tony that I said, once or twice in the past is that this integration compared to the last two we have done in U.S. and Mexico is very different and much longer, because the market are more similar. The U.S. market is very peculiar market given the three-tier system, lots of regulations by state. Mexico is also has very different modus operandi in terms of the trade environment. But when you look at SAB and ABI markets they are very similar especially to developing markets. But also markets like Australia and Canada very similar. So there is a lot of learning us in both ways and that’s what’s exciting about this combination.
Tony Bucalo: Great. Thank you, Brito.
Carlos Brito: You’re welcome.
Operator: Our next question comes from the line of James Edwardes Jones of RBC.
James Edwardes Jones: Yes. Good morning. Your global brands slowed down significantly in Q4, I think, 2.8% growth compared to 6.5% for the year as a whole. What was the reason behind that? And secondly, what priority are you giving to sales and volume growth, you've obviously got a huge amount to focus on around the integration cost margins deleverage as you mentioned and so on. Is sales and volume growth your top priority or is it somewhere down the list?
Carlos Brito: No, no, no. Organic growth is our top priority along with deleveraging. So like anything we do, it will always be and not or. So organic growth is a priority, the leverage is a priority and when we see some selective M&A, we will look at it and also return cash to shareholders. So those are the capital allocation priorities, but remain ensured but that organic growth together with deleveraging it's and not or are the top priorities for us. In terms of global brands, I mean, I wouldn't think one quarter as any indication of trends or anything. I would take to last five years and if you look at the last five years the growth has been amazing, way ahead of the revenue -- of our portfolio and I see no reason why that would change because of one quarter, so that would…
James Edwardes Jones: [Inaudible] that slowdown?
Carlos Brito: No, no. There was a big impact from China, China had a weak quarter that impacted Budweiser volumes that also impacted the total net revenue for global brand. But again that’s one quarter, I would look more of the trend on a year-over-year basis and then you will see that they continue to grow very strongly. The main thing, James, about our global brand is that, every market we introduces brands they do very well. I mean, you look at Budweiser, I mean, the markets we introduce after 2009 with no exception they did -- the brand did very well in all markets we introduced. You look at Stella as we continue to grow the brand, you look at U.S., you look at Canada, you look at Brazil, the brand continues to do a very well and now in the new geographies, I think, there is a lot to be said about Stella. Consumers value European heritage, roots of the brand. And you look at Corona, since it became part of our system the growth did nothing but accelerated. So and sometimes we lose opportunities because of capacity constraints in Mexico and that’s why we will be adding capacity in Mexico. So I think the global brands are really in a very good trajectory and it’s amazing because they are well received everywhere we go.
James Edwardes Jones: Thank you.
Carlos Brito: Thanks.
Operator: Our next question comes from the line of Mark Swartzberg of Stifel Nicolaus.
Mark Swartzberg: Thanks, and good morning Brito, good morning, Felipe.
Carlos Brito: Good morning.
Mark Swartzberg: My first question, Brito, pertains to what seems to be a course change in the way you're spending on sales and marketing. And we don't have -- as Chris pointed out, we don't have the sales and marketing detail we once had, but the SG&A guide are flat for the year follows I believe a 7% increase for SG&A last year which was driven by sales and marketing, and sales and marketing was up on a big increase in calendar ‘15 as well. So is there a course change going on here in the way and the absolute approach you're taking to sales and marketing and whether you'd call it a course change or not how would you characterize your approach to sales and marketing in order to derive a certain organic growth outlook, because it seems like you're saying, what we've been spending it hasn't quite produced the desired outcome in terms of organic revenue, so we are going to pull back and reevaluate here. But I might be misinterpreting that. So just wondering how you're thinking about level of sales and marketing spend pace and what -- what's going on here that appears to be different versus 2016?
Carlos Brito: No, no, no. I think, Mark, two things. I mean, first our philosophy has not changed. We continue to believe in the what we call the cost connect win in that organic growth is one of our priorities as I just answered to James and cost connect win is all about running a very efficient operation, running a very tight ship, finding those non-working dollars to connect with consumers in the market to win more business and grow the business. So that has not changed. And when you look at our guidance for next year in terms of SG&A, you should remember the synergies, is what has a big impact on that line. So when I say flattish, it means that some of the things could be growing, some others could be going down, but the net is really flat. So we have to remember this, a lot of the synergies are going to show up in the SG&A line, actually from our synergies of $2.8 billion, 40% will shows up in COGS and 60% in SG&A. So if you put that in that's why we are saying flattish. The other thing is that in the last three years we've increased our base of sales and marketing big time, double digits way ahead of topline, and of course, from time to time it's a good time to swipe the assets, we always do it, but when we have an event like this where the company gets much bigger you'd tend to have a hard look at where assets and resources are being allocated. But again don't forget that in SG&A 60% of the synergies will show up in that line.
Mark Swartzberg: Got it. Very helpful. Thank you. And my second Brito is, in the United States, we are of course, hearing a lot about what’s going on in sub-premium and I don’t want to focus over a much on sub-premium. But how are you think about the level of promotional activity you pursue against different elements of your portfolio and do you still think you will have year-on-year price gains in sub-premiums in the next tier up or is there a change more towards promoting in sub-premiums or the next tier up?
Carlos Brito: Well, market, two things, first in terms of promotional activity and that question came up last year, I think, every quarter. I think, it’s -- I am proud to say that now with the numbers in front of us, the U.S. net revenue per hectoliter increased by 1.8% which is very healthy. And what we said throughout the year that our promotional strategy was changing but not our promotional envelop or dollars that is now confirmed in the numbers. In terms of the value segment, it's important to say its 25% of our business and when we got here in 2009 the price discount to Bud and Bud Light was more like 30%, now it’s close to 20% and so we did a lot of what we said we would do. But I think now at the right price point or a better price point it's time now to support minimal the segment, which represents 25% of our business. And in a way it's very profitable, because we don't invest on much marketing compared to other segments where we invest lots in marketing. So it's interesting segment for us to now at this price level to support to a minimal extent.
Mark Swartzberg: Got it. And by minimum, you mean minimum versus what -- is the minimum getting higher or lower, are you talking, are you saying you are happy with the level of support or you need to take it down?
Carlos Brito: No. I mean, when you think about the sector, we took boys to the Super Bowl that has increased support, right. I mean, this is the first time we are doing.
Mark Swartzberg: Got it. Got it.
Carlos Brito: So that’s what I am saying, I think, we -- these brands are not being supported not even to a minimum, because again the price was very an interest…
Mark Swartzberg: Got it.
Carlos Brito: As it became better, the margins became better, it’s 25% of our business, so now it deserve some minimum support.
Mark Swartzberg: Got it. Very helpful. Thank you, Brito.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Robert Ottenstein of Evercore ISI.
Robert Ottenstein: Great. Thank you very much. Can you talk looking at the legacy SABMiller businesses, two related questions? Any comments on your market share trends and I realize in some of the countries the shares are very high, so that may be more appropriate to talk about in terms of share of alcohol? And then related to that, can you highlight at this point any interest in revenue management opportunities at legacy SABMiller?
Carlos Brito: Well, in terms of revenue opportunities within SABMiller, I think, one, I mean, we always said that we saw revenue opportunities, we saw core working capital opportunities, but we are not putting a number to it, but we always said that on the revenue side, Robert, global brands was a clear opportunity. I mean, SAB had amazing core brands -- core lager brands, but they never had global premium brands and now we do, as one company, so I think that's a big opportunity to really get Bud, Stella and Corona to all the right places in markets like Colombia, Peru, South Africa and even in Australia, having the brands back into the full. So that's a clear revenue management opportunity. I think other things is that we as ABI were more used to deal with premium brands just because of the nature of our portfolio. SAB was very used to deal with smart affordability. So I think the need of minds on these two toolkits will be very interesting across zones, because there are interesting things we can apply in the old footprint as well, so there are opportunities on both sides of the equation. In terms of share as you say, we didn't see any share loss in this main markets of SAB. In Australia we gained share. In Peru we gained share of alcohol and in Colombia, we estimate that the category further gained share in the fourth quarter in terms of share of alcohol, further gained 100 bps in terms of share of alcohol. So, again, the volumes were in South Africa, for example, or in Colombia better say, was against a very tough comp of 15% growth last year, in South Africa there was a lot of price increase because of commodities and currencies, and in Australia, not much happening in terms of currencies, so we had more of a normal year and the soft fourth quarter did not compromise the year, which was a very good year in terms of gaining share. So, I think, all-in all, a very good first quarter in many respects, but again some tough comps in some countries.
Robert Ottenstein: So you gained or held share in most of the African markets including South Africa?
Carlos Brito: I mean, your question about South Africa, I mean, let me see what we have here, in South Africa, we kept our share. In Peru we gained share of alcohol. In Columbia we gained a 100 bps share of alcohol and in other aftermarkets we are not disclosing at this point. I mean, let see here, yeah, at this point we know that in Mozambique. In terms of clear beer, yes, we gained share. In Tanzania we had a tougher beer. In Zambia we gained share, yes. So that’s the -- those are the main countries in the African continent.
Robert Ottenstein: Okay. And then just a clarification of a prior question, you said that you had net revenue per hectoliter in the U.S. of 1.8%, was that for the year or the quarter or both?
Carlos Brito: For the year. For the year.
Robert Ottenstein: And what was for the quarter?
Carlos Brito: I am not sure we disclosed the quarter. For the year it was 1.8%, yeah.
Robert Ottenstein: You've disclosed that in the past, is it?
Carlos Brito: Yeah. But, we are disclosing too much.
Robert Ottenstein: Okay. Okay. All right. Thank you very much.
Carlos Brito: 1.8% for the year.
Robert Ottenstein: Thank you.
Carlos Brito: You’re welcome.
Operator: Our next question comes from the line of Edward Mundy of Jefferies.
Edward Mundy: Hi. Good afternoon, everyone. My first question is there is a Bloomberg headline suggesting your market share should rebound to the 67% to 69% range in the near-term after dropping to 66% in 2016, is there any way you could comment further on that? And my follow-up, I was hoping you might provide a bit more color around the significant intellectual synergies that you've highlighted in your release today and in particular any concrete examples of best practices that you've seen in the SABMiller business that could be applied to ABIs core business?
Carlos Brito: Yeah. Well, I think, in terms of SAB, I mean, there are many, many practices that we can apply in our business. I mean, one of them is the whole idea of category development. They have a frame work. SAB operated in markets -- their high market share higher than ours, way higher on average than our markets and because of that they've been working with the category development framework for quite some years. So again we'll use that category development framework as a basis for a long range plan and that’s all about understanding occasions where the market is today, where our portfolio sits in relation to pockets of opportunities and trying to predict where we should be with our portfolio and therefore try to guide resourceful location towards that, so that's very interesting. Another one is the core lager toolkit. SAB also developed a very interesting core lager toolkit in that they split core lager into traditional lager and easy drinking lager and they developed toolkits, for example, Australia is the great example of the application of those toolkits with great results and Colombia, South Africa, also amazing drinking, so that's also a toolkit that we are going to be applying in our markets, because most of our business is in the core lager territory. And the other one is smart affordability, I mean, you -- we developed -- we learned from SAB in different markets, for example, in Africa. How we can really team up with governments to have local sourced beers being produced. Our beers with local source grains to get to lower price points, governments like that as well, they give us some breaks in excise taxes, so we can hit interesting price points to get consumers from illegal alcohol into branded alcohol. So that has been a partnership that's an amazing toolkit to learn and apply in other markets. The other thing is also about low tax or big tax. We have experience with that in Colombia and Brazil as well. So there's a toolkit that's been enriched now because of experience of both companies. So I think those are examples of things that are being utilized. And as I said before, it’s been very interesting because their markets are very close to our markets, so it's interesting to learn things that can be applicable in a very easy way to our markets.
Edward Mundy: And Brito, do you think the opportunity is more price laddering or is it more on expanding the category?
Carlos Brito: Say it again please.
Edward Mundy: Do you think the opportunity from picking up on some of the SAB intellectual synergies, is it more around price laddering or expanding the category?
Carlos Brito: It’s about both, I mean, it’s price laddering, but connecting that with category growth opportunities, so we have the core lager territory, we have affordability, we have premiumization, we have near beer and we have more like flavored beers. So, I mean, you have territories and they did a lot of study in those territories trying to understand common threats, because again, when you look at company like ours now with 500 brands, you have to have a framework of brand position territories in which you house those brands let’s five territories most them, so you can steer and create toolkits so this brands can use if they pertain to the same territory. So those are things that we are thinking about, they were ahead of us and that enriched toolkits of our companies. So those are some of the examples of things that we got across from one company to the other.
Edward Mundy: Thank you. And the other question on the Bloomberg headline around market share in Brazil, I was wondering whether you'd be able to comment further on that?
Carlos Brito: I don't know exactly which headline you're referring to, but what we might have said, because we say that always is that, in Brazil our range that we feel good about is 67% to 69%. We are now at 66.3%, so below the range and we're committed to go back to the range in 2017. And so we have been below the range a couple times in the past and we've always said we'll go back to the range and we did. So we're very committed and we feel we have the right plans in place to go back to that range. 2016 was a very tough year in terms of everything we just explained about Brazil and because the price increases and all that, because of the pressure on taxes, commodities, currencies that gave us some disadvantage in the marketplace, but we're now on a ‘17 that according to what we hear could be a better year in terms of GDP, in terms of consumer confidence, in terms of inflation and employment, we intend to go back to the 67%, 69% range.
Edward Mundy: Okay. Thank you.
Carlos Brito: Thank you.
Operator: Ladies and gentlemen, we have reached the allotted time for questions today. Our final question -- and I am, sorry, our final was coming from the line of Sanjeet and he has disconnected from the call. I will turn the floor back over to callers for any additional or closing remarks.
Carlos Brito: Okay. Thank you, Marie and thank you everybody for joining us. In summary, 2016 was a transformational year for our company with the completion of the SAB combination. Our new geographic footprint and immense portfolio brands position us for sustainable long-term growth. However, our overall performance in ’16 was disappointing largely due to challenging environment in Brazil. When we do not need to object this we will take responsibility for it. These are times when leaders rise to the occasion in our company and in our culture is that it’s very best. In 2016 we laid a solid foundation for new company and now in ’17 our first full year as a new company we will build the bridge from the old AB InBev to the company we are inspired to be. Given our strong team, our capacity to learn and adapt in a long track record of success we are constant about our future. Thank you for joining the call and enjoy the rest of the day. Thank you.
Operator: Thank you. This does conclude today’s teleconference and webcast. Please disconnect your lines at this time and have a wonderful day.